Operator: Thank you for standing by. This is the conference operator. Welcome to the Algonquin Power & Utilities Corp. 2016 second quarter conference call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Christopher Jarratt, Vice President of Algonquin Power & Utilities Corp. Please go ahead, Mr. Jarratt.
Christopher Jarratt: Good morning everyone. Thanks for joining us on our 2016 second quarter conference call. My name is Chris Jarratt and I am the Vice Chair of Algonquin Power & Utilities Corp. Joining me on the call today are Ian Robertson, our Chief Executive Officer and David Bronicheski, our Chief Financial Officer. For this earnings call, we have a supplemental webcast presentation that you can access from our website. Please go to our home page, algonquinpowerandutilities.com where you will access instructions. Additional information on our Q2 2016 results are also available for download at our website. As usual, on this call, we will be providing information that relates to future events and expected financial positions which should be considered forward-looking. I direct you to review our full disclosure on forward-looking information and non-GAAP financial measures also available on our website. We will read the full disclosure at the end of the call. This morning, Ian will discuss our second quarter growth highlights. David will follow with our financial highlights and then Ian will conclude with an outlook for the remainder of 2016. We will open the lines for questions at the end of the presentation and I would ask that you restrict your questions to two and re-queue if you have additional questions. And with that, I would like to turn things over to Ian to present some of our second quarter growth highlights.
Ian Robertson: Thanks Chris and good morning everyone. I appreciate you taking the time today to listen into our Q2 2016 earnings call where we come to you from our office here in Oakville. It's going to be a scorcher here in Toronto today. So I guess with the weather this summer, over the past couple of months we are pleased to have been in the solar business. So I would like to start with a few of the highlights of our businesses in second quarter 2016. David's going to give you some financial results a little bit later, as Chris has mentioned. As I think about Q2 this year and what is and how I define it, there is kind of three things that I would like to highlight. First and perhaps most importantly, I think everybody is, I hope everyone is comfortable with the financial results for the quarter fall solidly into the category of inline with expectations. Our $99.2 million of adjusted EBITDA for the quarter represents close to 45% increase over the same quarter last year. But given that we all own this company, one share at a time, we are probably most pleased that the per share results are equally solid with growth in adjusted funds from operations and adjusted earnings per share of close to 40% in each category. Second of all and as a key component of our strategy, to diversify business mix within our independent power and regulated utility business, continued to show its worth as a risk mitigant and value creator. Looking at our power portfolio, the geographic and modality diversification of the fleet, again proved a benefit in our Q2 power production, helping the smooth results in the face of naturally occurring volatility of wind and hydrologic conditions across Canada and the U.S. On the regulated side of the business, in Q2 our diversification across electricity, natural gas and water distribution businesses reduced volatility in our results. It continues to be an important component and contributor to shareholder value. And then I guess lastly and perhaps importantly for the future, we believe that the proposition for shareholder value creation through growth remains solidly on track. While the Empire transaction within the distribution business group looms large, given its size and I will speak to that in a moment, the recent commissioning of our 200 megawatt Odell Wind facility in Minnesota shows that our generation business group will and can continue to contribute to meeting our growth objectives. Additionally, our 75 megawatt Amherst Island Wind Project in Ontario is now moving purposefully into construction with the dismissal of the appeal our renewable energy approval, which we received late last week. And I think we certainly need to thank our partners and the development team for their dedication and persistence on Amherst Island. We are looking forward to our commercial operations date finally, for that project in the next 18 or so months. As to the distribution side of our business, I think we have delivered solid growth including several rate cases successfully prosecuted over the past year and we are pleased that the Park Water acquisition is also solemnly contributing with their first full quarter of results. Tuning our attention to the Empire acquisition. We are pleased to report that the efforts to reach approval of transaction are progressing in line with our expectations. Following our conference call last quarter, we are pleased that the Empire shareholders voted overwhelmingly in favor of the agreement and plan of merger voting 99% in favor of the proposed transaction. Well, we recently filed agreements with the Public Service Commission in Arkansas, which recommend approval of the transaction. We have also filed a similar joint stipulation agreement with the Missouri Public Service Commission. We are looking forward to a hearing in Missouri, which is scheduled for the end of the month. We are working well with the Empire team as we engage with the respective regulatory agencies and progress towards the approval of the transaction. We are quite impressed with the connections and the depth of the regulatory relationship that the Empire team brings. And while there is much still be done, we still remain focused on a conclusion of the transaction early in the first quarter of next year. And with that, in terms of the summary for second quarter, David why don't you take it away with some of the financial results.
David Bronicheski: Thanks Ian and good morning everyone. We are pleased to have reported solid financial results for the second quarter of 2016. Our adjusted EBITDA in the second quarter continued to show impressive growth totaling $99.2 million, which is a 22% increase over the amount reported in the same quarter of 2015. Our diversified portfolio and the success of our growth program were clear contributors to our improved performance. Compared to the second quarter of 2015, the increase in EBITDA was mainly due to $13 million of additional EBITDA from our newest utility Park Water along with another $3.7 million from positive rate case settlements. EBITDA on our generation side was consistent with the previous year. Earlier spring runoff in Ontario and the Maritimes in Q1 of this year meant that those hydro facilities saw less production in Q2 compared to last year. For the three months ended June 30, just a few highlights, our adjusted EPS came in at $0.11 a share and total revenue is $222.8 million. Adjusted earnings grew by $0.03 over 2015. Main contributor was growth from our operating facilities and lower income taxes. Adjusted funds from operations increased to $77.6 million, which is an impressive 41% improvement over the same quarter last year. As previously reported, we are pleased to have been able to satisfy our equity capital needs for 2016, including the equity required for Empire. The $1.15 billion of debentures we raised at the time we announced the transaction are expected to convert to equity and the final installment will be due upon the expected close of the Empire acquisition in early 2017. More recently, in fact just last week, we closed our U.S. $180 million tax equity financing for Odell Wind facility. With respect to our debt requirements, we are currently preparing to meet with key fixed income investors through the remainder of 2016 and to be active in the U.S. debt capital markets, come the fall, to complete the debt financing for Empire. We remain confident that we have strong access to the capital markets to fund our growth program. I will now hand things back over to Ian.
Ian Robertson: Thanks David. And before we open it up for questions, as we stand here in the midpoint of 2016 and I think we look back over the first six months and we look forward to the next coming six months and we are pleased that the number of achievements in the rearview mirror and some positive milestones which are in sight through the windscreen as we focus on completing the growth plan for 2016 and frankly beyond. As I mentioned and David highlighted, commissioning our 200 megawatt Odell Wind facility in Minnesota was an important milestone. But we actually fully expect to complete another 160 megawatt of capacity, which is currently under construction before year-end. That's comprised of 150 megawatt Deerfield Wind facility in the northern eastern part of Michigan. It's advancing well. All of the foundations are poured. 20% of the 75 turbines are erected or putting them up at the rate of about six a week. So the end is in sight, certainly for that project. In California, construction of our 10 megawatt at Bakersfield II Solar facility, which is an expansion of our 20 megawatt of Bakersfield I Solar facility, is just about complete now and we operation will be commencing early next quarter. We are continuing to prosecute rate cases across our distribution business group as we continue to make organic investments in the capital of our utilities. Specifically California, Arizona, New Hampshire figure prominently in to that work. The revenue requirement increases of these three states is close to $24 million U.S. So significant growth expected from those activities. In California alone, we have reached settlement for close to $10 million. And we are expecting the rate decision later this quarter with, I will mention that rates are retroactive back to the start of this year. On the Empire front, we are working effectively, we believe, with the Empire management team to progress through the approval steps in the four states in which Empire serves its customers. Alongside that, I think, we have good line of sight to the key components involved in ensuring a smooth integration and seamless transition of Empire and its customers into the operation of Liberty Utilities, which is clearly our objective. And lastly, I think we have remained focused on strengthening our current set of opportunities in the generation business as we add new initiatives to the to-do list, if you will, from growth perspective. We think that the backdrop for renewable power generation, particularly in U.S., hasn't really ever been brighter and so we are obviously looking forward to adding more projects to that to-do list. And so operator, with that I would like to open the lines up for questions.
Operator: [Operator Instructions]. The first question today comes from Rob Hope of Scotia Capital. Please go ahead.
Rob Hope: Yes. Thank you and good morning everyone.
Ian Robertson: Hi. Good morning, Robert.
Rob Hope: Just a couple of questions on your generation business. Just to clarify, Amherst, in the slides it says that construction is starting. So is that project fully FID'd now?
Ian Robertson: It is. And it has reached final investment decision. I think, Robert, as you are obviously aware and real gating item to getting going in earnest was the dismissal of the REA appeal which happened, I think on August 2 or 3 of this month.
Rob Hope: All right. That's helpful. And then just when I look at Chaplin, Great Bay and ValEo, I am just wondering when do you think you can maybe move that from the in-development bucket into the in-construction bucket?
Ian Robertson: Well, I am going to start, I will say, with the easiest. ValEo is moving ahead. It's a relatively small project, as I am sure you can appreciate. And so I don't think it's a very momentous FID decision. We are working our way through it. To be frank, I think it's going to happen pretty seamlessly. That construction will start on that project this fall. With respect to Great Bay Solar, we are moving ahead on that and in fact, that project does have final investment confirmation. That timing of it is a little bit uncertain as we work our way through some interconnection issues and some sort of final design with respect to land, how much over build, that sort of stuff. But we are committed to that one. Chaplin is a little bit, say, more complicated. As you probably saw in the MD&A, we are looking at some potential reconfiguration of the project to be more sensitive to some of the environmental impacts of the project. We are working cooperatively from our perspective with the Ministry of Environment in Saskatchewan and frankly SaskPower, I think we had tried to give some indication that before the end of this year, we will have some pretty clear direction on the timing of that FID for the Chaplin project.
Rob Hope: Great. That's helpful. Just one last question.
Ian Robertson: You are allowed two, Rob. So go ahead.
Rob Hope: Awesome. With the second half of Odell being taken in, would you give any thought to potentially monetizing some of your renewable assets, given market conditions and relatively lofty valuations, to fund your other businesses?
Ian Robertson: Well, it's a great thought. And I think without telling stories out of school, obviously the YieldCo phenomenon that existed in the U.S. capital markets and I will say, last summer and beyond, was obviously a pretty enticing opportunity in terms of realizing some of the value that's implicit in these assets. As we look at what's happening right now, while the YieldCo's themselves have collapsed, clearly the demand and desire for yield hasn't gone away. I think that's what you are alluding to and so, we always are balancing whether we want to be buyers or sellers in the marketplace. And so, it hasn't quite pushed us to be sellers. We would be remiss on behalf of our shareholders, if we didn't keep our eye on it and look at it should we be recycling capital from some of our committed projects into the pipeline we have. So rest assure, Robert, it's on the radar scope. I don't think, as I said, there is anything eminent from our perspective. But man, it's hard enough to look at these valuations, as you allude to.
Rob Hope: All right. Thank you for the insights.
Ian Robertson: Thanks much.
Operator: The next question is from Rupert Merer with National Bank Financial. Please go ahead.
Rupert Merer: Good morning everyone.
Ian Robertson: Hi Rupert.
David Bronicheski: Good morning.
Rupert Merer: So you mentioned the market in the U.S. for renewable power is very positive right now. What's going to pace your growth in the U.S. in the wind market? Is it site access, permits, or PPAs? Can you give some color on the market for PPAs today?
Ian Robertson: Well, I think I probably, if you ask me, which one of those factors is probably the gating item from a project perspective, I would say it's probably PPAs that would be the issue that is driving a project. As you know, Lord knows, there is lots of land, particularly in the Midwest, where the wind resources are strong and certainly, I think, a fair degree of clarity to the permitting guidelines. So it's access to PPAs. In terms of but helping that. So I was hoping the opportunity for PPAs and I guess we are actually on both sides of this analysis is when you look at the ability to have the U.S. treasury effectively subsidize the price of power through the PTCs, it's hard not to think that it would be prudent as a utility, to the extent that you need more energy to satisfy retirements in the coal space or other forms of generation that you should be taking advantage of some of that $20 or $25 power which is available right now from the wind industry. So I think we are hopeful that those forces continue to encourage utilities such as Northern States Power who's the offtaker for Odell, from our perspective or Wolverine, who is the offtaker for Deerfield to take advantage of the full value of the PTCs. As you are aware, Rupert, they kind of stepped down. It's a five-year goodbye to the PTCs, but this year you can harness 100% of those PTCs and so we are seeing lots of activity. People are considering it. We are thinking about it ourselves as we think about Empire. As, you know Empire is bringing 1400 megawatt worth of generation to mix, a lot of it which is coal. And so the question is, should Empire be thinking about taking advantage of this by taking advantage of the ability to get 100% of the PTCs. So we are active in the marketplace. I think the permitting environment, certainly the appetite for yield and therefore cost of capital, t the availability of tax, actually they are all positive contributors which are the basis for my statement, Rupert, that there is a fair number of tailwinds, pardon the pun, to the development environment in the U.S.
Rupert Merer: Okay. Great. And then secondly more of housekeeping question. On Calpeco, you had the positive $10 million revenue increase for that settlement in Q2. I believe you were looking for the final permit decision in Q2 originally but it's now moved to Q3. Can you discuss the timing of the final decision? And is it correct to assume that we should see the full revenue increase in Q3 with full retroactive payments for Q1 and Q2 also in Q3, if that final decision comes through?
Ian Robertson: Yes. So let me just cut it and give you a 30-second primer on the regulatory approval process for the rate case. As you accurately point out, we reached an agreement in May of last year and filed a settlement agreement between ourselves and staff, that goes in front of an Administrative Law Judge. The Administrative Law Judge reviewed the settlement. In this case, I would say interestingly, the Administrative Law Judge rather than just stamping it, had a number of questions on some of the accounting treatment that we employed in the calculation of the rate case and the agreed upon settlement. And we went back and we and staff responded to that. I don't think there was any issues, but unfortunately the occasion probably six weeks to eight weeks longer in terms of the Administrative Law Judge's review, that proposed decision gets issued by the Administrative Law Judge and then it gets ratified by the Commission. And so that's the process behind it. And so well, it's an annoyance with respect to the delay. The second part of your question is correct, which obviously takes the young staff which under the memorandum agreement we have in the State of California, the revenues associated with the utility and that settlement are retroactive back to January 1. So some expect the delay is an aggravation but it didn't cost us any money, if you want to think about it that way, Rupert.
Rupert Merer: Okay. So it could all come as a lump in Q3?
Ian Robertson: Yes. But I think, I would say, nobody is not being transparent and say a big chunk of that is obviously related to revenues that were notionally attributed to Q1 and Q2. Unfortunately, just the way the accounting works is, we weren't able to recognize those revenues until a final order from the commission is in hand. That's jus the way that the regulatory accounting treatment works. But you are absolutely right. The nice thing is, we will get the check, we will get to revenue in some respect in Q3.
Rupert Merer: Excellent. Thanks very much.
Ian Robertson: Thanks Rupert.
Operator: The next question is from Orhan Eldarov with RBC Capital Markets. Please go ahead.
Orhan Eldarov: Hi guys. Congrats on a good quarter.
David Bronicheski: Thank you.
Ian Robertson: Thank you.
Orhan Eldarov: Yes. So I want to big picture, 30,000 foot view question. You kind of touched on it earlier saying that the U.S. renewable market is quite hot right now, especially in the wind. And as you mentioned the PTCs are going to be declining over time. What we have seen in the market with some other developers is, there is sort of a rush to put down a 5% deposit to be eligible for the full PTCs, right?
Ian Robertson: Yes.
Orhan Eldarov: So have you been seeing any of that? And would you be willing to do that? And to piggyback on that, we have seen some people who have been putting deposits there on a large turbine before fully having a wind project all set up and kind of banking --
Ian Robertson: Well, okay. So two parts to your question. One is your thought pattern is absolutely correct, which is the PTCs are declining. If you want to lock in the 100%, you do need to safe harbor those turbines we have and that involves kind of putting down 5% of the expected capital cost of your project, which actually translates to 8% or 9% if you want to buy turbines to satisfy that cost obligation, 8% or 9% of the cost in the form of turbines. So one way to look at it is that, if you don't lock up the turbines today and following Rupert's earlier question about PPAs and it's a competitive process, you will not be competitive if you are competing in that marketplace with 80% PTCs against some guy who has locked up turbines and has 100% PTCs. And so therefore, in order to preserve our competitiveness, we too will be locking up turbines, which is the second part of your question. I think we are sufficiently confident and comfortable in our ability to locate projects and find opportunities to deploy the turbines that we were making commitments for so that we can lock those down. And just to put that in context, to the extent that we were able to commit, say, $50 million to purchasing turbines, there's 12 times multiplier effect. So that represents about $600 million worth of PTC wind projects for which you would have locked up 100% PTCs. I think it's not a strategy that we developed. Other people are doing it right now. But to be frank, if you want to remain competitive in this marketplace, you better have the stuff to be able to go long turbines. So the short answer to your question, I guess is, yes and yes.
Orhan Eldarov: Okay. And that's very helpful. I guess with your development expertise that shouldn't be too much of a problem. And then the next question is a more detailed one. I was just going through your financials and I saw that there was $8.6 million cash gain from a sale of a long-lived asset. I was trying to figure out the cash flow stream of that transaction. I saw $8.2 million gain on the income statement and then some $800,000 write-down. Can you just explain what's that all about? And was there something actually sold? And did that go into the cash flow from operations at all?
Ian Robertson: Sure. Well, I am going to turn things over to Chris Jarratt, because I think what you are referring to is the conclusion of a 15-year odyssey on which we have been on. So Chris, why don't you give some color on that one?
Christopher Jarratt: Yes. Thanks. I think we are pretty pleased with that situation. And I can speak personally, we are kind of pleased for probably two reasons. The first is, it's the last of the related party issues that were a holdover from the income trust days. And as Ian said, that was a 15-year odyssey. And I guess the second thing I am pleased about is, I will never have to use the words, Trafalgar and power, in the same sentence again. We are done. So good news that we resolved the situation and it was resolved, in our minds, quite favorably.
Orhan Eldarov: So that $8.6 million cash gain, is what you guys were talking about in the notes of the financials with respect to the Trafalgar settlement, that $6.6 million?
Ian Robertson: Yes. It's six and change in U.S. converted to Canadian.
Orhan Eldarov: Okay. That's good. And so I am assuming you guys haven't backed that out from adjusted funds from operations?
Ian Robertson: Yes. It's a one-timer.
Christopher Jarratt: We sure hope it's a one-timer.
Orhan Eldarov: Yes. Okay. That's fair. And so I guess that write down, is that some accounting treatment of that? Or is that completely unrelated?
Christopher Jarratt: I think it's completely unrelated. That would be a different thing.
Orhan Eldarov: Okay. It was just labeled long-lived asset. So I couldn't tell based on the financials. Okay. Well, I think that's it for me. Thanks a lot.
Ian Robertson: Okay. Well, I appreciate the call.
Operator: The next question is from Sean Steuart with TD Securities. Please go ahead.
Sean Steuart: Thanks. Good morning everyone.
Ian Robertson: Hi Sean.
Sean Steuart: A couple of technical question on Park Water. I guess when we work through the math, the entire EBITDA contribution is going to was going to come in around $35 million. And I am wondering what chunk of that would the attributable to Mountain Water?
Ian Robertson: Well, in big picture and sort of thinking about it for, let's just think about it for 2016, about 20% of the EBITDA from Park would probably be attributed to Mountain Water.
Sean Steuart: Okay. And with respect to Mountain Water, there's some mention in the MD&A about the FPO contract liability. How does that, if at all, play into the sale of that chunk?
Ian Robertson: Well, I will start by saying is that the final details of the sale or the condemnation aren't really complete. There are ongoing hearings. There is the ongoing discussions that are needed we had between us and the city. And one of the aspects of those discussions are those developer contracts and they are really in respect of capital that the developers contributed to the utility to provide service for real estate development and which capital is committed to be refunded over 40 years. So while the headline number $22 million, when you look at the actual net present value, the discounted value, it's obviously significantly less than that. The second thing that I would say is that, it's hard to believe but I think precedents across the U.S. would sort of say that the capital, the assets and those 40-year refunding obligations really belong to the utility. And so certainly part of the discussion that's going to be ongoing between us and the city is, what happens to that refunding obligation that set us over 40-years. And so certainly, I think the headline number probably is a little bit misleading in terms of the size of what was being discussed here, particularly in the context of there are a lot of other things that are being debated as well, which is post notice interest, legal fees, taxes. There's a bunch of moving parts, Sean, but that gives you a little bit of color to the disclosure in the MD&A over those development contracts.
Sean Steuart: Great. Thanks Ian. The rest of my questions have been answered.
Ian Robertson: Okay. Thanks Sean.
Christopher Jarratt: Thanks.
Operator: The next question is from Ben Pham with BMO. Please go ahead.
Ben Pham: Yes. Thanks. I just want to, on that last topic, if you guys do get the 100-plus on Mountain, isn't this transaction more accretive than when you initially expected? Because if you are losing 20% EBITDA but getting back one-third of the capital you put in?
Ian Robertson: I will start with the short answer, Ben. Yes. I will go with the longer answer, which is we are hardly in the business of going through the heartache and aggravation of buying utilities only to sell them for slight premium and gain. It would probably be the rationale that made us not frightened of buying Park Water in the face of the condemnation process that was underway. And as I said earlier, in general condemnation is not generally one of the things that's feared by utilities, but let's not kid ourselves, it's an aggravation to try to build the business and then have it get smaller on you.
Ben Pham: Are you still interested in Montana? Because I know one part of the reason you wanted to get in there or buy Mountain was to expand?
Ian Robertson: Sure. And I think part of it, I think we went to a fair amount of trouble to work on the regulatory relationships. You know Ben that part of our game plan in terms of our regulated utilities, is to build a constructive and transparent relationship with the regulators in all the states that we serve and Montana was no different. And you saw that there was a settlement there. We reached agreement constructively with staff and the commission to sort out some of the issues that had arisen during the acquisition. It is disappointing. I agree with you, it is disappointing, notwithstanding the fact that as you said that the Park Water transaction is more accretive without Montana in it as far as a $103.5 million in cash. But to be frank, we are always looking to capitalize on the jurisdictions in which we go into and Montana is no different. So that's what I am saying, is I think I agree with you. It's an aggravation and an annoyance, but the solve for that aggravation, as you said, is the condemnation proposition which I think leaves us whole and then some maybe.
Ben Pham: All right. And then my second question is on your rate cases. And as you go through mid-2017 just looking at the table then, revenue increases. Are you pretty much exactly complete, I guess your tongue-in-cheek orphan strategy that has been a pretty good source of earnings?
Ian Robertson: Well, when you say complete, we own the utilities. The rate cases are really, they are the culmination of a capital investment cycle for utilities. So one who buys the utility and invest capital in the utility and then ultimately the utility compact allows us to go back and seek an increase in our rates to provide us a return on and return of that increased capital. To be frank, Ben, that cycle never ends for us in terms of continuing to invest capital in our utilities. And I think we have got probably four or five year line of sight of projects and opportunity to continue to invest in those utilities. Well, initially some of those utilities provided a real and were very starved for capital and I think there are still are utilities within our portfolio that can benefit from significant investment. But that never ends for us, to be frank. As I said, I think our commitment is always to invest more capital in our utilities to replace depreciating assets, to take advantage of energy efficiency opportunities. And so I don't think it ever ends, Ben.
Ben Pham: Okay. I guess I was just more referring to the ROEs that you have been able to create a lot of value before what your tanked in premiums, low ROE's, you have moved those ROEs over time, now you are paying a bit more higher premiums but higher quality earning stream and maybe more of a CapEx type of story now.
Ian Robertson: Yes. I think you touched on another aspect which is, maybe to rephrase your question, tell me what's happening in the M&A space within a regulated utilities in these assets. I think your inference is obsolete correct. It's an aggressively competitive marketplace right now that you look at where utilities are trading and the thought of being able to buy utility for 1.1 times rate base, that will be a difficult proposition right now in the industry even with, as you point out, the thought of taking orphans. Those orphans have a great deal of value and selling utilities recognize that. Having said that, I think we continue to create significant value notwithstanding the fact that, as you said, we have moved upscale. I think the Empire acquisition represents a significant transformation for our organization. But I think we have done it at a price point and with the proposition which is accretive to value going forward. I think we are thrilled to having those customers and that generation and the opportunity to continue to invest in that utility. But you are absolutely right. I think the observation is, we didn't get it for 1.1 times rate base. Having said that, it remains accretive to earnings and value for the utility. So we are not demoralized by the change in the marketplace, but we would be remiss if we didn't at least acknowledge it.
Ben Pham: Okay. That's helpful. Thanks everybody.
Ian Robertson: Thanks Ben.
Christopher Jarratt: Thanks Ben.
Operator: The next question is from Paul Lechem with CIBC. Please go ahead.
Paul Lechem: Thank you. Good morning.
Ian Robertson: Hi Paul. Didn't we already have somebody from CIBC? You guys are trying to get more questions in?
Paul Lechem: Really?
Ian Robertson: I am just kidding you. Go ahead.
Paul Lechem: Just a couple of questions on some of your other investment opportunities. After the cancellation of the Kinder Morgan pipeline, I think you were revisiting the opportunity to build compressed natural gas in the Northeast. Just wondering if that project is still a go? Or where you are at with that one?
Ian Robertson: Yes. your memory is serving you correctly. Just because Kinder Morgan, I will say, proverbially fell on their sword with respect to the Northeast Energy Direct pipeline. That didn't change the demand dynamics in the Northeast natural gas sector, which was the underpinning of support for the pipeline. And so we are continuing both on behalf of EnergyNorth and New England Gas, which are two LDCs in the sectors, but the other LDCs as well to explore opportunities to meet the needs going forward. Our LNG plant, I think we were pleased to acknowledge that it received support from the Mass Department of Public Utilities in the form of a confirmation of the customer, which is National Grid, to an agreement that we have reached with National Grid to buy, it's actually liquefied natural gas off that facility. And so consequently we are moving forward to reach final investment decision ourselves on that project. But I would say that the cancellation of the Northeast Energy Direct has actually probably encouraged us to look at expanding the scope of that project beyond what it was originally sized for to meet the needs of not only ourselves, our utilities but other utilities. So it's definitely going ahead, from my perspective, in the size that it was conceived and I think there is an opportunity to make it bigger.
Paul Lechem: And remind us Ina, what is the current scale of that project as currently conceived?
Ian Robertson: It's about $130 million in total capital investment. I will point out that we have a 50% partner in it. So it's only about $65 million. But to the extent that we are able to conceptualize bigger storage and a bigger liquefaction and gasification, you could quite easily imagine another $250 million being associated with that expansion. So will that into itself replace the $400 million hole that Kinder Morgan's cancellation of the NED occasioned in our growth pipeline? Probably not absolutely completely, but I think it's a big step to buttressing the growth in our transmission group.
Paul Lechem: Thanks, Ian. Just lastly from me, given what your comments were earlier around how competitive projects have become in North America for renewables and utilities, what are your activities outside North America? Have you got any business development ongoing outside in either Europe or South America or elsewhere?
Ian Robertson: The short answer is that I will say, yes, we do. I think we would be remiss and we have said that we are opening our eyes up to possibilities outside of the boundaries of Canada and the U.S. I think Mexico is obviously something which is looming large. They are going through a relatively significant restructuring of their electrical system and it's creating opportunities for private investment in wind and solar. We have looked at OECD countries as well. I think we are pleased and comfortable that the growth pipeline that we have in front of us, both on the generation and the distribution side makes that examination take place with measured and it can be paced without stress. And what I mean by that is, I don't think you want to jump into a foreign market without having taken lots of time to fully understand that foreign market because for that foreign market, it's foreign to you. It's actually the home market to somebody else and it will be very easy to find yourself not fully understanding all the yins and yangs of that foreign market. And so we are taking our time. But rest assured, Paul, that we are buying airplane tickets outside of Canada and the U.S. for BD guys right now.
Paul Lechem: Okay. Thanks Ian.
Ian Robertson: Thanks Paul.
Operator: [Operator Instructions]. The next question is from Jeremy Rosenfield with Industrial Alliance. Please go ahead.
Jeremy Rosenfield: Thanks. I hope those BD guys get some first class tickets.
Ian Robertson: No. That actually is not the case, Jeremy. I am sorry.
Jeremy Rosenfield: Okay. In terms of just some growth opportunities, I have seen a lot of power plants in the thermal space, natural gas power plants, particularly in the Northeast U.S. that have maybe been offering better valuations than wind and solar in the current market. And I am just kind of curious whether there may be an opportunity to be opportunistic and expand the thermal business? Or just from a strategic perspective, whether that probably just doesn't make sense and there are better investment opportunities in other places you would like to be spending the money?
Ian Robertson: It's a great thought. But I guess my response to the question is that you really better invest in what you know most. And the problem with a natural gas plant in today's market is that without a long-term contract, you really are making a bet on what the average system heat rate is, how your plant is likely to fare against the average system heat rate, you have got to manage gas availability. It's a very complex understanding which is as much founded on understanding the market and the confluence of the electricity and natural gas prices as it is an understanding the technology of converting that natural gas into electricity. I don't think I am embarrassing the organization to say that's probably not one of our biggest core competencies. And so while it might appear enticing to look at a particular PowerPoint opportunity and say, oh gosh, we should jump into that. I think it's something that we approach with a fair amount of caution, because if you find yourself on the wrong side of a heat rate curve or find yourself with constraints on the natural gas supply perspective, that value proposition can evaporate in a heartbeat. And so I think of those projects largely as being highly operationally leveraged because of the demand for natural gas. And so I think the short answer is, we are pretty good at renewable energy. And I think so sticking to our knitting is probably our strategy. I think that to the extent that we want to go beyond that, it's probably the more geographic diversification rather than modality diversification kind of, as per Paul's earlier question.
Jeremy Rosenfield: Sure. Okay. It makes sense. And then just, I guess on the Great Bay Solar project, has tax equity been secured already for the project? Or is the financing process still ongoing there?
Ian Robertson: It's still ongoing. We are in active conversations that a tax equity provider for that project. I think we would like to think that this organization is built as a core competency, an understanding of the tax equity marketplace, I think a competency at negotiating and meeting the needs of the tax equity community. And so I pleased that we don't see the kind of hurdle that perhaps we once did because of we have got a group of three or four people that's what they are focused on it. And so we are confident that the tax equity is available for Great Bay. We just obviously announced that transaction yet.
Jeremy Rosenfield: Okay. Perfect. Great. Those are my questions. Thanks.
Ian Robertson: Thanks Jeremy.
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Mr. Robertson for any closing remarks.
Ian Robertson: Well, thanks everyone. I appreciate everybody taking the time for our Q2 conference call and I appreciate all the questions that there were posed. With that, thanks very much. We will speak to you next quarter and please stay on the line for our riveting disclaimer from Ian Tharp. Go ahead, Ian.
Ian Tharp: During the course of this conference call, we may have made statements relating to the future performance of Algonquin that contains forward-looking information, including statements with respect to the expected performance of the company, its future plans and its dividends to shareholders. While these forward-looking statements represent our current judgment based on certain material factors or assumptions, actual results could differ materially from such forward-looking statements made today. Additional information about the material factors that could cause actual results to differ materially from such forward-looking information and the material factors or assumptions that were applied in making any forward-looking statement as well as risk factors that may affect the future performance and results of Algonquin are contained in the results press release and Algonquin's public disclosure documents filed by the company on SEDAR at www.sedar.com. We undertake no obligation to update these forward-looking statements unless required by law. Furthermore, during the course of this conference call, we have referred to certain non-GAAP financial measures including but not limited to adjusted net earnings, adjusted EBITDA, adjusted funds from operations, per cash or per share cash provided by adjusted funds from operations and per share cash provided by operating activities. These non-GAAP measures do not have any standardized meaning under GAAP and may not be comparable with other non-GAAP or non-IFRS financial measures presented by other companies. We refer you to our MD&A for more information about these non-GAAP measures, including a reconciliation of the non-GAAP measures to the corresponding GAAP measures where a comparable GAAP measure exists. Thank you.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.